Operator: Good day ladies and gentlemen and welcome to the OncoGenex Third Quarter 2015 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference maybe recorded. I’ll now turn the call over to your host Jim DeNike. Please go ahead.
Jim DeNike: Thanks Stephanie, and thanks everyone for joining us. With me today from OncoGenex are Scott Cormack, President and Chief Executive Officer; and John Bencich, Chief Financial Officer and Dr. Cindy Jacobs, our Chief Medical Officer. Before we begin, I'd like to remind everybody that today's conference call contains forward-looking statements based on current expectations. These statements are only predictions and actual results may vary materially from those projected. Please refer to OncoGenex documents filed with the SEC concerning factors that could affect the Company, copies of which are available on the Web site. I'll now turn the call over to Scott.
Scott Cormack: Thanks, Jim. Good afternoon everyone and thank you for joining us. Following the close of the third quarter, we find ourselves in a pivotal time for the company, as we await the first AFFINITY data readout by the end of this year and a number of other significant readouts over the next 12 months. On the call today, I will provide an update on our Custirsen and Apatorsen clinical programs and preview anticipated milestones through the end of this year and into 2016. John will provide a review of our financial results for the third quarter and we’ll conclude the call with questions. Let me start with Custirsen program and the first of two important milestones from our Phase 3 AFFINITY trial. The AFFINITY trial is evaluating the survival benefit of Custirsen in combination with docetaxel treatment as second line chemotherapy in men with metastatic castrate-resistant prostate cancer. The first of two analysis to be conducted will determine the ability of Custirsen to extend survival in a prospectively defined subgroup of men who are at increased risk for poor outcomes. This group is comprised of men having two or more of five common clinical features, including poor performance status, elevated PSA, elevated LDH, decreased hemoglobin, and the presence of liver metastasis. This patient selection criteria was developed in collaboration with study investigators and key opinion leaders following analysis that are identified patients who significantly benefit from Custirsen in the Phase 3 synergy trial. Being able to prospectively identify these patients, we provide guidance for physicians to determine which patients are most appropriate to receive Custirsen and may also lead to earlier product registration. In order to reach a statistically significant survival benefit in the subgroup, we’re required to reach a hypothesized hazard ratio of 0.69 with the clinical hazard ratio being less than or equal to 0.78. Following discussions with both FDA and EMA earlier this year, we’re confident in our ability to proceed with plans for regulatory submission for the subgroup population based on the patient selection criteria. Again, we expect to have these data by the end of this year. At the same time is the final analysis for the subgroup, interim analysis for both utility and efficacy are scheduled to occur in the intent to treat or entire patient population, of the AFFINITY trial. If this interim analysis shows early efficacy, we’d proceed with an NDA filing for the entire trial population. If the early efficacy interim analysis does not show a highly significant difference, the study will continue as planned with final results expected in the second half of 2016. To reiterate, the subgroup and ITT are separate analysis for survival benefit. In the event of the subgroup analysis as positive, we’d proceed with discussions with the FDA on an IND filing. A growing body of evidence points to the roll of clusterin plays in blocking the effects of many known therapeutic agents. Preclinical studies have shown that tumor cells that over express clusterin are likely to display more aggressive behavior and respond less well to chemotherapy, radiation or hormone ablation therapy. At the 2015 European Cancer Congress or ECC meeting Vienna this past September, we presented data that look to serum clusterin levels from men in the SYNERGY trial who had metastatic CRPC. The analysis show that Custirsen treatment significantly lowered serum clusterin levels from baseline in men with metastatic CRPC. In addition, these data showed that serum clusterin reductions during Custirsen treatment resulted in higher two-year survival rates in those patients who were at increased risk for poor outcomes. Of those patients with lower serum clusterin levels, the data also showed a correlation to an overall survival benefit for Custirsen-treated patients who were at increased risk. We believe this data supports the important benefit Custirsen may bring to these patients. Before I turn to an update on our second product candidate, Apatorsen, I’d like to review the current status of the Phase 3 ENSPIRIT trial. ENSPIRIT is evaluating the ability of Custirsen in combination with docetaxel treatment as second line chemotherapy to extend survival in patients with non-small cell lung cancer. A protocol amendment to the statistical design and analysis plan of the ENSPIRIT trial was submitted to approved by all regulatory agencies in participating countries. We believe this amendment specifically detailing the revised statistical thresholds, are more appropriately aligned to the interest of both treating clinicians and their patients, because the statistical threshold for efficacy is more aligned to clinical relevance. Based on current ENSPIRIT enrollment projections, we believe final survival results could be available in the second half of 2016. I’d now like to move to our other lead product candidate, Apatorsen. Apatorsen is designed to inhibit the production of Hsp27. Over expression of Hsp27 is thought to be an important factor leading to the development of treatment resistance and is associated with metastasis and negative clinical outcomes in patients with various tumor types. We are studying Apatorsen across multiple cancer indications and in the past quarter had two important updates for metastatic bladder cancer program. Patients living with advanced metastatic bladder cancer typically have poor prognosis with very limited therapeutic options. At the ECC meeting, we presented additional analysis of data from the Borealis-1 trial, confirming that patients with advanced bladder cancer identified is having increased risk for poor outcomes also had increased baseline levels of serum heat shock protein 27, as well as increased circulating tumor cells. The study showed that baseline Hsp27 and circulating tumor cell levels were additional risk factors for survival outcomes. This data further validates the subgroup classifications for poor versus good prognostic risks in the Borealis-1 analysis, which showed that patients with advanced disease were specific poor prognostic risk factors experienced a clinical benefit with Apatorsen. These data have also been accepted for an oral presentation at the upcoming European Multidisciplinary Meeting on Urological Cancers on November 14 in Barcelona. Our second Phase 2 Apatorsen trial metastatic bladder cancer called Borealis-2, completed patient enrollment in the third quarter. The investigator-sponsored, randomized, Phase 2 trial has met the target enrollment of 200 patients and will evaluate over all survival with Apatorsen in combination with docetaxel in patients with advanced or metastatic bladder cancer who have disease progression following first-line platinum-based chemotherapy. Borealis-2 is sponsored by the Hoosier Cancer Research Network and its being conducted at 27 sites across the United States. We expect to announce these results in 2016. Our Spruce trial is an investigator-sponsored, randomized, placebo-controlled Phase 2 trial in patients with previously untreated advanced non-squamous non-small cell lung cancer. The aim of the trial is to determine if adding Apatorsen to carboplatin and pemetrexed therapy can extend progression free survival outcome compared to carboplatin and pemetrexed alone. Additional analysis or expected to improve tumor response rates, overall survival, safety, tolerability, and the effective therapy on Hsp27 levels. Patients who were at increased risk for poor outcomes will also be prospectively evaluated. This trial was initiated in August 2013 and patient enrollment was completed in February 2015. Our primary progression free survival end point data is expected in the first quarter of 2016, we’ve continued to overall survival follow-up. We have two additional investigator-sponsored Phase 2 trials in ORCA program. Our Spruce-2 trial in untreated advanced squamous non-small cell lung cancer broadly called Cedar is currently enrolling patients. The specific trial is being conducted in men with castrate-resistant prostate cancer who are experiencing a rising PSA while receiving Zytiga. The trial is also continuing enrollment to patients. That concludes my update on our recent product candidate developments. I’ll now invite John to provide an overview of our financial results for the third quarter of 2015. John?
John Bencich: Thanks, Scott. As of September 30, 2015 our cash, cash equivalents and short-term investments increased to $65.9 million from $47.1 million as of December 31, 2014. Our ending cash and investment balances for the third quarter reflects an increase of $5.7 million from our June 30, 2015 balances and includes proceeds raised from the previously announced financing, looks like in Park Capital. Based on our current expectations, we believe that our cash, cash equivalents, and short-term investments will be sufficient to fund our currently planned operations into the first quarter of 2017, which may include announcement regarding Custirsen announcing affinity trial results including final results of the poor prognosis subpopulation by the end of this year and final analysis for the ITT population in the second half of 2016, depending on timing of the event-driven final analysis. In announcing ENSPIRIT trial results, which could be available in the second half of 2016. Regarding Apatorsen, announcing Spruce trial results for the PFS primary end point in the first quarter of 2016, announcing Borealis-2 trial results in 2016 and continuing enrollment in the Spruce-2 trial and completing enrollment in the Pacific trial. Revenue for the three-months ended September 30, 2015, increased to $6.7 million from $4.8 million for the three months ended September 30, 2014. Revenue for the nine months ended September 30, 2015 decreased to $12.1 million from $21.5 million for the nine months ended September 30, 2014. Revenue for the current period reflects the recognition of the proceeds we received from Teva as advanced reimbursement for Custirsen related development expenses. We expect the deferred revenue balance from the advanced reimbursement from Teva to be fully recognized in the first half of 2016, as we continued the development of Custirsen. Total operating expenses for the three and nine months ended September 30, 2015 were $11.4 million and $27.4 million, respectively, compared to $12 million and $44.3 million for the three and nine months ended September 30, 2014, respectively. The reduction in operating expenses in 2015 is primarily related to lower clinical trial costs for the AFFINITY and Borealis-1 trials as a result of patients completing treatment. This reduction was partially offset by higher ENSPIRIT trial costs as we became the sponsor in the study. Net loss for the three and nine months ended September 30, 2015 was $4.6 million and $15.1 million, compared with $4.9 million and $20.6 million for the three and nine months ended September 30, 2014, respectively. That concludes my discussion of our financial results. I’ll now turn the call back over to Scott for closing remarks. Scott?
Q - Scott Cormack: Thanks John. This is a exciting time in the Company’s history with AFFINITY Phase 3 data expected by the end of the year and several key data milestones occurring throughout 2016. And as John just discussed, we’re well positioned financially to achieve these milestones and we are preparing for success. Thank you again for joining us today and at this time I’d like to invite Stephanie, our operator to open the line for questions. Stephanie?
Operator: Thank you. [Operator Instructions] Our first question comes from Katherine Xu with William Blair. Your line is open.
Katherine Xu: Yes. Hi, good afternoon. Just curious about the interim analysis of AFFINITY in the entire ITT population. Scott, can you talk about the futility and efficacy analysis little bit more in detail and how they’re treated statistically?
Scott Cormack: Sure. Thanks for the question, Katherine, and good afternoon. I’ll turn this one over to Cindy, our CMO who is participating in this call as well and she can give you some more detailed explanation of both of those analysis. Cindy?
Cindy Jacobs: And so for both of those analysis they were requested by FDA to be done at the same time as we did the final analysis on the poor prognostic subpopulation. And we really haven’t disclosed the details of interim analysis, so I won't be able to go into those details, but it was both for the FDA request and at the same time. So we really are looking at the early efficacy interim which obviously has a very high bar for that to hit early efficacy.
Scott Cormack: So it provides an opportunity Katherine essentially for an early stop on efficacy if that were seen in the ITT population. And as Cindy alluded, as you could expect it is -- it does have a fairly high bar statistically to achieve that.
Katherine Xu: Okay. So you would conduct this utility for us and then once that’s met go for the efficacy?
Cindy Jacobs: Actually both the interim analysis are going to be done at the same time.
Katherine Xu: Thank you.
Scott Cormack: Thanks, Katherine.
Operator: [Operator Instructions] Our next question comes from Stephen Willey with Stifel. Your line is open.
Stephen Willey: Hi. Thanks for taking the questions. Just wondering at this point if you know, I guess, what percentage of patients enrolled into AFFINITY meet that poor prognostic criteria that you’ve signed out of the entire patient population?
Scott Cormack: Out of the entire patient population? Yes. Thanks Steve, again I appreciate the call and good afternoon. Again since Cindy is online and in that various datasets and the analysis from a statistical perspective I can turn this one over to Cindy who can respond to that question specifically. Cindy?
Cindy Jacobs: Sure. We do not -- I mean we do not know the analysis. I mean we still view it as going to be two-thirds of the population when we were doing some estimates. I’m looking at still that -- right at that 60%, 63%, but we don’t know specifically until we get the final analysis from our independent statistical group.
Stephen Willey: Okay. And can you remind us what the percentage of patients that fell into the poor prognostic in SYNERGY was? It was a little bit lower, correct?
Cindy Jacobs: Yes, that was -- well we did the first analysis with the scape score and that was by default 50% because it was the median and then when we did the two to five it was about 41%, 42%.
Stephen Willey: Okay. So the delta there between I guess the two to five in SYNERGY and two to five in AFFINITY just reflects the back of this -- there’s a patient population that’s removed from an other line of therapy?
Cindy Jacobs: Correct, I mean and the reason why we’re kind of still estimating about two-thirds is because even if you look at performance status in the SYNERGY it was about 30% of the patients have what would be a more poor performance status and 50% in the AFFINITY. So right there you can see the difference and then you’re adding in the other four risk factors as well which those patients in AFFINITY should have worse prognostic status than the SYNERGY patients.
Stephen Willey: Okay. I think that’s all I have. Thanks for taking the question.
Scott Cormack: Great. Thank you, Steve.
Operator: Our next question comes from Chad Messer with Needham & Company. Your line is open.
Chad Messer: Great. Thanks for taking the questions. The hazard ratio is 0.69 you said for this high-risk population, I’m sure you’ve given it before. But can you remind me what the hazard ratio is for the whole ITT population?
Scott Cormack: Sure. And again thanks a lot for the question and good afternoon, Chad. Cindy, you’re on a role, so we’ll turn back to you again for the data [ph].
Cindy Jacobs: Sure. For the ITT population that hazard ratio, they hypothesized hazard ratio did not change, it remained specified at 0.75. It was the -- looking at the poor prognostic group that we specified it at 0.69 as they review it. If we have efficacy in this patient population it would be at a lower hazard ratio of 0.65 -- 0.69.
Chad Messer: Okay. I mean, obviously like you guys looking at the data, do you mean you’ve got a shot with the total population, and then maybe an earlier shot with the high-risk -- I’m just wondering about the bizarre situation if high-risk misses and we go on to the ITT, what that would mean? Intuitively, I guess that would mean high-risk wasn’t as good of a indicator as we thought. Is that a fair assumption or is there an ultimate way to look at that?
Scott Cormack: Yes, I think -- Chad, I think that’s a really good question and one that’s worth articulating a little bit more. From what Cindy had just said about the statistics, there is obviously a higher bar placed on the poor prognostic subgroup population. So there is a situation where you could have for example just missed that from a hazard ratio perspective where you could still get it from the ITT because you do have a higher bar on that subgroup population and that is obviously a risk reduced in that trial. Just to add one more other point, Chad the other point I guess on that is both of these from our perspective and I think from a regulatory perspective do both achieve clinical relevance as well. So it’s not like the poor prognosis is at a level that would be relevant and the ITT population is something that is less than relevant. I think it a fair statement to say that both are highly relevant from a clinical perspective as well.
Chad Messer: Yes, now I agree. I know its early afternoon over there, but the sun is set here. So -- I’ve got a glass that I’m raising to SYNERGY and best of luck to you guys.
Scott Cormack: Thanks a lot, Chad. Very much appreciate it, and we too are looking forward to that data. It’s coming up on us pretty quickly now.
Operator: Our next question comes from Katherine Xu with William Blair. Your line is open.
Katherine Xu: Hi. Thank you for taking a follow-up. I just want to make sure in the press release subject you’re going to give -- you will talk about a final analysis of the poor prognostic group, but you also talk about the interim analysis results of the whole entire population.
Scott Cormack: Yes. So there is -- there is I guess, we’ll -- I’ll start with the first part of this and then we’ll move into a second part that perhaps Cindy can talk to as far as some additional detail for you. So it depends obviously on the outcome of the trial. If the trial is positive, we would be providing top line results consistent with what you would normally see with survival kind of indicators in there and preserving enough information that we could still present at an appropriate scientific congress, even like at ASCO or one of those kinds of congress. So in a positive situation you would see on the poor prognostic population that kind of a top line result announcement. Then if you flip it, if we are unfortunate enough to see a non-positive outcome, then we won't be able to disclose anything with respect to the poor prognostic group because we don’t know it. As Cindy had articulated, I think in the previous question, because we’re continuing the trial for the ITT population we need to remain blinded as sponsor of the trial in that particular event. So all we’ll be able to say is we didn’t hit the statistical threshold for that poor prognostic group and we will continue, and then once we get to the requisite events for the ITT population then obviously we don’t want the trial. Cindy, maybe you could add something else onto that.
Cindy Jacobs: I know, I think you did a good job. I mean for all three of these analysis we’ll be reporting whether it crossed the criteria or not. Obviously for the interim you could have, that it’s not futile, that study is continuing or the early efficacy which would require a highly significant p-value. So even if you had for the ITT a hypothesized hazard ratio of 0.72 versus our hypothesized 0.75, it would have to be highly statically significant. It may not reach that highly statically significant bar because it’s quite high. So even though we don’t meet the early efficacy that doesn’t mean that the final analysis would not have a chance.
Scott Cormack: Right.
Cindy Jacobs: Got ahead.
Scott Cormack: Sorry, I was just going to say the other thing to mention, because I don’t think I mentioned in the first piece is, in the situation even with a positive poor prognosis in a situation where we haven’t hit the early efficacy, we won't know the results of the ITT population in that scenario either. So again, its either going to be as continuing or not with respect to the ITT on an early [indiscernible] and its only under an early stop that we would know any details in that circumstance for the ITT population.
Cindy Jacobs: And even with the poor prognostic patients, I mean obviously that’s a high bar to have a hypothesized hazard ratio of 0.69. So these are all done to really move forward earlier than the ITT final analysis if we hit one or both of those.
Scott Cormack: Right.
Cindy Jacobs: Or either one actually.
Scott Cormack: Very good. Thanks, Katherine.
Operator: Our next question comes from Stephen Willey with Stifel. Your line is open.
Stephen Willey: Yes, thanks for taking the follow-up. Just a curiosity question I guess on Spruce, I know that you -- I guess regarding to PFS data, first quarter of next year, but then I’m presuming that ultimately survival will be kind of the key determining us to whether or not you decide to go forward with that study, is that correct?
Scott Cormack: So the primary on it Steve is PFS, that is the primary endpoint for the trial. From a corporate perspective obviously we’re going to have the PFS data ahead of the survival trial, and we would look at the PFS and I think we would start guiding our efforts according to the PFS in the interim. But you’re right, I mean a registration endpoint for long remains survival and so we would still want to see what that looks like to make an ultimate decision. But I guess in a scenarios where we saw a positive PFS, Cindy and team would be rapidly encouraged to start protocol rating and development of the Phase 3 strategy, how is that for foreshadowing Cindy. And then obviously wait for the survival results to see where we go, because that ultimately is going to be your design of the trial and I think we would like to see survival numbers so that we can pre-plan sample sizing so on because up until you know what that is, it would be estimated. But having the reality of the Phase 2 experience I think would be helpful. The other side of that equation is if it doesn’t hit on PFS, wouldn’t probably go through the effort of pre-writing protocols and so until we saw the arrest, but there’s certainly our circumstances in diseases like lung cancer where PFS does not translate to survival. And because survival is your primary approvable endpoint, we would basically just wait for the next flip to see if there’s a survival benefit in the absence of a PFS advantage.
Stephen Willey: So I guess to ask the question just in the context of, you hear I think some of the -- the initial penetration rates, that kind of Bristol and Merck are speaking to post introduction of PD-1 and to kind of second line lung and it seems like those -- those two drugs have become fairly entrenched. So I’m just kind of wondering if you think that it’s going to be really hard to kind of elucidate some kind of OS benefit now in second line lung with the introduction of these fairly active therapies post first-line.
Scott Cormack: Yes, so with respect I guess to the checkpoints, there’s first I guess a market question and then secondly is; does that affect our trial? Now from a market perspective I think looking at the dataset first from the checkpoints, first its obviously very clear that these are not cures for lung cancer and patients will progress through that therapy as well as other therapies and there remains a desperate need to do something for those patients. So I don’t think from a market perspective that changes. Then I think with respect to the non-squamous population there’s probably different opportunities depending on the health status of that group as well. So whether you’re taking good versus poor prognostic patients, I think there is a delineation in that patient group actually with the checkpoints that may represent a different opportunity. The broader question then comes down to, do the present trials or the interim of those drugs and the tail-end of this trial have potential to complicate the OS. That’s always an interesting question, when you have a new agent that comes in that makes a potential survival benefit in the landscape that could be getting post therapies, that’s something they’ll obviously have to look at and we’re obviously sensitive to it given the SYNERGY history. But I think given lung cancer and how quickly these patients pass away, I think a fair number of those patients probably will have been treated through before these agents would have become available to them. So I think we’ll have to look at it and I don’t have the numbers on top of my head or that we’ve even looked at of how many patients will have -- received these agents as a subsequent therapy, but its something we’ll have to look at in the context of the results.
Stephen Willey: Okay. Thanks for the follow-up.
Scott Cormack: Thanks so much, Steve. Appreciate the questions.
Operator: And I’m showing no further questions. I will now turn the call back over to Scott Cormack for closing remarks.
Scott Cormack: Right. Thank you very much, Stephanie. Thank you very much for participating in today's call. Clearly our excitement level is increasing substantively as we approach now the first of the two analysis tests that we’ll be conducting on AFFINITY, that’s a very near-term objective that is occurring this year, very excited about that. And then as we roll into 2016, we start to post material events for us as we go through a number of our clinical trials and starting to see results from the efforts of our clinical development plan until it will be not only an exciting time as we come to the close of ’15 but certainly through ’16 as well. I’m looking forward to further communications and updates with all of you on the phone and participating by website. Thank you again very much for participating on today's call.